Operator: Good day, ladies and gentlemen. Welcome to the Limelight Networks 2012 Third Quarter Financial Results Conference Call. [Operator Instructions] I will now turn the call over to Gillian Reckler, Limelight's Director of Investor Relations.
Gillian Reckler: Good afternoon, and thank you for joining the Limelight Networks' Third Quarter 2012 Financial Results Conference Call. This call is being recorded on November 1, 2012, and will be archived on our website for approximately 10 days. If you are online, we have updated our standard investor presentation, and you can find it in PDF format within the Investors section of our website. Some portions of this conference call may include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements are all statements that are not strictly statements of historical fact, such as statements regarding future events or future financial performance, including, but not limited to, statements regarding Limelight Networks' market opportunity and future business prospects, guidance on financial results, statements concerning anticipated future growth and profitability, as well as management's plans, goals, strategies, expectation, hopes and beliefs and statements concerning the anticipated effects of pending or completed business combination or other strategic transactions. These forward-looking statements are subject to risks, uncertainties and other factors that could cause actual results to materially differ from those contained, projected, or implied in the forward-looking statements, including the inherent risks associated with litigation, particularly intellectual property-based litigation. Reported results should not be considered an indication of future performance. Factors that could cause actual results to differ are included in the company's periodic filings with the Securities and Exchange Commission. I would now like to introduce Jeff Lunsford, Limelight's Chief Executive Officer.
Jeffrey W. Lunsford: Thanks, Gillian. Good afternoon. The digital world grows in importance with every passing day. Every company desiring to achieve success in this new world must now operate with 2 faces, a physical presence and a digital presence. Increasingly, buying decisions are being influenced by information buyers learn about a company through its digital presence. By the time a prospect walks into a store or calls a sales rep, they've already usually formed an opinion of a company and its offerings based on what they experienced in the digital realm. Reviewing website content, mobile content, product and service reviews through social channels, et cetera. As result, the stewardship of an organization's digital presence has become a critical success factor worthy of executive suite attention. In response to these trends, Limelight has developed Orchestrate, the industry's first integrated digital presence management platform. We are unique in our approach to solving this critical problem, and we are seeing great traction in the market, with 28% year-over-year growth of our value-added services. Revenue in the third quarter was $45 million, of which 35% was generated by these value-added services. The value proposition for the integrated suite of digital presence management surface -- services within Orchestrate is resonating, and we saw new customers purchase an average of 2.2 products in Q3, as they established their initial relationship with Limelight. We also continue to see traction in upsells into our base, especially with Limelight Video Platform. Core content delivery revenue in the quarter declined 2% on a year-over-year basis, and Doug will give you -- will provide further information on that momentarily. Limelight is proud to be at the forefront of the burgeoning digital presence management movement. Let's expand further on what we mean by digital presence, because this is important. Simply put, digital presence is the sum of every digital touch point a company has with its audience across every type of online channel, mobile, social, web, living room and all other digitally delivered points of customer interaction. Pressures are growing quickly on organizations to optimize their digital presence. A recent study commissioned by Google found that 90% of us now use multiple screens, PCs, tablets, smartphones and smart TVs to research or buy online. Business-to-business buyers are no exception. In a recent survey by McCallum Layton, 71% of business buyers reported routinely researching vendor websites and industry press websites and downloading online white papers during their buying processes. Organizations are just now beginning to take advantage of the power of an optimized, online digital presence and they need help from solutions like Orchestrate, which take advantage of the opportunity presented by this multi-screen, multichannel world, and we believe this creates opportunity for Limelight. Users are coming to expect rich, dynamic content delivered with fast, reliable performance to any type of device they choose. We saw very creative multi-screen campaigns emerge during this summer's Olympic Games, and are now seeing advertisers, creative agencies and increasingly, business-to-business marketing organizations acting on the new imperative to offer a consistent integrated digital presence across all digital touch points. To accomplish this goal, organizations have a choice. They can cobble together a variety of standalone technologies to manage their digital presence. But working with 4 to 6 different content management, publishing, processing systems and infrastructure service providers seems an expensive and inefficient proposition, likely leading to suboptimal digital presence experiences, higher costs and lower customer conversion rates. Instead, leading companies continue to move to the integrated Orchestrate digital presence platform that Limelight has brought to market, adding new service solutions to their existing contracts with us. Some of the many positive endorsements of our digital presence management solutions, both as an integrated offering and as highly-competitive standalone products, include companies like Frontier Communications and Toyota Financial Services, who now use Limelight Video Platform, our end-to-end video solution for publishing content online. Pet360, the online distributor of pet food, who now uses Limelight Video Platform in addition to our web content management solution to offer rich, fresh and personalized service to their customers. Standard & Poor's and a leading global electronics manufacturer, who both expanded their relationships with us by adding web content management to existing Limelight relationships. Tastytrade and Interactive Media Mix, who are now harnessing 3 or more Orchestrate services to help them manage and optimize their digital presence. We're excited to be thought leaders in the digital presence management movement. We are helping define the category and are unique in providing a comprehensive solution to a problem that so clearly needs to be solved. Let's review some performance highlights. Combined revenue for the Limelight Video Platform and Limelight Mobile, which are key components of Orchestrate -- of the Orchestrate Digital Presence platform, grew 44% year-over-year. In Q3 last year, we had a few large sporting events that generated very large mobile traffic spikes, and this group grew 44% in spite of that year-over-year comp. Limelight Video Platform and Limelight Mobile enable companies to manage, publish and monetize high-quality video on the web. Our LVP service is differentiated from other online video services through its integration with our other SaaS services, and through the efficiencies and advantages our customers enjoy through our global high-performance network. Limelight Video Platform has intuitive browser-based management tools for uploading and organizing media, a customizable player that can be skinned to fit the look and feel of our customers' websites, control through policy-based publishing, analytics for fine-tuning delivery and understanding customer engagement and mobile delivery capabilities. The Limelight Video Platform's customers can monetize their video content through integrations with third-party ad servers and networks, and through the Limelight Video Platform's proprietary ad server. We continue to see good upsell traction with Limelight Video Platform into our customer base, as previously mentioned, with logos like Pet360 and Scholastic Corporation. IDC estimates that online video platform revenue will grow at a compounded annual growth rate of 27%, from over $400 million in 2011 to over $1 billion in 2015. This is a high-growth market with very exciting potential. Dynamic Site Platform, which is Limelight's software-as-a-service web content management solution, grew approximately 30% year-over-year when revenues adjusted for deferred revenue write-downs caused by M&A accounting. Our end-to-end solution enables companies to publish corporate websites and manage multiple properties, whether microsites, multibrand sites, or multilingual properties. Its ease-of-use empowers marketing teams to publish and make website changes themselves, without burdening corporate IT teams. Because it all runs in the cloud on Limelight's high-performance platform. The Dynamic Site Platform combines web content management with website marketing acceleration and personalization tools, mobile publishing options, social media integration, search engine optimization and reporting and analytics. Together, these tools accelerate engagement, lead generation, conversion and qualification for sales. Dynamic Site Platform is the Web content management solution of choice for leading brands across a range of industries, from communications powerhouse, PR Newswire, to RelayHealth, who renewed during Q3, to a leading global electronics manufacturer who recently added Dynamic Site Platform to their Limelight solutions set. Gartner estimates that the web content management market was over $1.2 billion in 2011, and that it will grow at a compounded annual growth rate of 14% year-over-year. Revenue for Limelight Accelerate services grew 39% year-over-year. This Accelerate family of services decreases the time it takes for users to interact with companies' websites, regardless of what connected device they're using, improving what we call time to action. The time to action for users to access your website is a key element of digital presence, because the speed and performance of an end-user's experience leads to more completed transactions, more successful conversions and increased visitor loyalty. Limelight's Web Acceleration services combine front-end optimization, which works at the browser level with content caching through our robust network platform. Customer wins during the quarter for Accelerate included Houghton Mifflin Harcourt, who added Accelerate to their existing Limelight services, and Aviesta, one of the largest bilingual private retail discount sites in the world. In the quarter, we also continue to migrate new and existing customers to Limelight Agile Storage, our high-performance, differentiated, cloud storage offering, which leverages our massively provisioned global computing platform. Agile Storage offers unique global geographic placement, business process management and business logic controls to simplify administrative overhead, reduce long-term IT costs and ensure compliance to regulatory standards. Agile's benefits include fast upload via localized ingest points, flexible replication policy, support for large object libraries and a wide variety of upload protocols. Agile can accommodate our customers' growing libraries and goes hand-in-hand with the other solutions in our Orchestrate Digital Presence platform. Overall storage revenue grew approximately 6% year-over-year. This is slower than the rest of our VAS, value-added service, suite, because it is still largely tied to CDN origin services. But we are beginning to see more exciting use cases emerge, where customers want to use Agile for things beyond content delivery. And we expect it to grow faster than content delivery going forward. Consulting services grew 22% on a year-over-year basis. Our services team is driving into higher value services, helping customers assess, design, plan and implement their digital presence strategies. The new team we put in place in Q2 is gaining traction, and we think they can grow services 25% or higher next year. In the content delivery area, we continued to focus on signing only financially attractive smart business. Overall, we believe our strategy of moving into higher growth, higher value solutions that leverage our unique technology and infrastructure resources, expanding our traditional customer segments and opening up longer-term, more strategic customer relationships, will propel us forward and accelerate our bottom line. Our value added services have SaaS-like growth margins and are less capital-intensive. CapEx last year was $30.4 million, and this year, CapEx will be less than $20 million. Next year, we anticipate that it will be even lower as a percentage of revenue. As we've discussed before, we operate on -- we operate one of the 3 largest digital video delivery platforms in the world and this is a scale game. The optionality is ours as to whether grow here, or just hold the line and grow the value-added services portion of our business. Regarding intellectual property, we are continuing to develop differentiated and relevant intellectual property so that we can take full advantage of both the software-as-a-service and content delivery and cloud storage market opportunities in front of us. We now have 45 patents issued and have dozens more in the works. We are pleased with our intellectual property velocity and the innovations that our talented employees are developing. On August 31, the United States Court of Appeals for the Federal Circuit issued an opinion on Akamai's patent infringement case against Limelight. The court held that Limelight did not directly infringe Akamai's patent, which was the only issue before it. And as such, it upheld the District Court's decision to vacate the original jury award of damages to Akamai. A slim majority in this 3-way divided opinion also announced a revised legal theory of induced infringement that gave Akamai the opportunity to go back to the District Court for a new trial to attempt to prove that Limelight induced its customers to infringe Akamai's patent. Just as we have successfully shown that Limelight does not directly infringe Akamai's patent, we firmly believe that we ultimately will be successful in showing that Limelight does not infringe Akamai's patent under the majority, as newly-stated inducement infringement theory. And we will continue to vigorously defend against the allegation. Limelight will file a petition to appeal this sharply-divided Court of Appeals decision to the Supreme Court, and will seek to stay any proceedings in the District Court until the Supreme Court rules on its appeal. Just to be clear, the original jury verdict from 2008, which was subsequently overturned, and all damage assessments associated with that verdict are no longer applicable. We ended the quarter with $130 million in cash and marketable securities and no debt. We are well-capitalized to invest in the already-successful Digital Presence strategy I've just described. I'll now hand the call to Doug, to review our financials in more detail.
Douglas S. Lindroth: Thanks, Jeff. Please note the following financial results that I will be discussing are for continuing operations and exclude EyeWonder and Corus from current and prior periods. For more information regarding the discontinued operations, please see our earnings press release that we issued today and our Form 10-Q that we will file in the next few days. During the third quarter, Limelight Networks recorded total revenue of $45 million, up 6% from the third quarter of 2011 and up 1% from Q2 of 2012. Our CDN revenue declined approximately 2% on a year-over-year basis due to the expiration of our reseller contract with Global Crossing, who was acquired by Level 3, and a reduction in non-traffic related revenue. In addition, we saw the rate of traffic growth accelerate in the quarter, however, we also saw an increase in price compression. The stronger U.S. dollar also had a negative impact on our revenue on a year-over-year basis. Overall, our value-added services continued to demonstrate traction in the market. Value-added services revenue grew 28% year-over-year on an as-reported basis. Value-added services revenue was 35% of total revenue during the third quarter, compared to 29% in the same period of 2011, and up 32% from Q2 of 2012. We had another strong quarter of year-over-year growth from the combined online Video Platform and Mobile Group and from Accelerate. In addition, as we indicated on our last few earnings calls, we saw strong growth of approximately 30% in Dynamic Site Platform on a pro forma basis, and we saw a nice turnaround in our professional services that had revenue growth of 22% on a year-over-year basis. During the third quarter, Limelight's international operations represented 32% of total revenue, up from 31% in Q2 and flat to the same period of 2011. We reported third quarter adjusted EBITDA of $2.8 million compared to $3.6 million for the third quarter of 2011 and $2.5 million last quarter. Our Q3 GAAP loss from continuing operations was $0.6 million, or $0.01 per basic share, compared to a GAAP loss from continuing operations of $6.4 million, or $0.06 per basic share in the same period in 2011 and compared to $9.4 million, or $0.10 per basic share last quarter. Our Q3 results included a $9.4 million gain, which we recognized on the sale of our investment in Gaikai, Inc. who was acquired by Sony. We also reported third quarter non-GAAP net loss before stock-based compensation, litigation costs, amortization of intangibles, acquisition-related expenses, gain on sale of Gaikai, and discontinued operations of approximately $5.5 million, or $0.05 per basic share, compared to a non-GAAP net loss of approximately $2.2 million, or $0.02 per basic share in Q3 of 2011. Please refer to the tables included in our press release for the reconciliations of GAAP measures to these non-GAAP measures. GAAP gross margin was 37% during Q3 compared to 36% in Q3 of last year, and down from 38% in Q2 of 2012. Gross margins increased over last year due primarily to the increased contribution of revenue from our value-added services. Gross margin declined from the second quarter as a result of a decrease in reseller revenue, as I previously mentioned, a decrease in non-traffic related content delivery revenue, an increase in bandwidth and co-location cost to support growing traffic on our network and an increase in stock-based compensation, offset by higher revenue contribution from our value-added services. Cash gross margin was 54% for Q3 compared to 53% in the same period last year. During the third quarter, our operating expenses were $26.2 million, a slight decrease from last quarter and an increase of $2.8 million from Q3 2011. Total depreciation and amortization for the second quarter was $8.5 million, down from $8.6 million last quarter and flat to the third quarter of 2011. Depreciation and amortization in the third quarter includes $7 million of network-related depreciation. Stock-based compensation expenses for the quarter were $3.7 million, compared to $3.2 million last quarter and $3 million in Q3 of 2011. Moving on to the balance sheet. Our combined cash and short-term marketable securities balance on September 30 was approximately $130 million, up from $125 million in the second quarter of 2012. We repurchased approximately $3.2 million of our common stock and spent approximately $7.4 million on capital expenditures. Our cash flow from operations was approximately $5.3 million, and we received $10.2 million in proceeds from the sale of our investment in Gaikai. Days sales outstanding for the quarter were 57 days, flat to the previous quarter and down from 59 days in Q3 2011. Regarding guidance for the fourth quarter of 2012, we expect to achieve revenues in the range of $45.5 million to $46.5 million. Our value-added services revenue will be approximately 33% to 35% of total revenue in Q4. And for this revenue range, we'd expect gross margin to be 37% to 38%. Stock-based compensation expenses for Q4 are expected to be approximately $3.6 million. Capital expenditures are expected to be approximately $1 million to $2 million. We anticipate fourth quarter operating expenses, excluding stock-based compensation, litigation expenses and acquisition-related expenses, to be flat to Q3. With that, I'll turn it back to Jeff.
Jeffrey W. Lunsford: Thank you, Doug. This update provides insight into how much we've accomplished in transforming Limelight into an innovative provider of high-value, high-performance integrated cloud-based services that help businesses more efficiently and more effectively manage their digital presence across web, mobile, social and large-screen channels. Our strategy is simple: Keep scaling our high-performance global digital presence delivery solutions with lower capital requirements, while building a complementarity high-value suite of software-as-a-service and cloud-based solutions for digital presence management, which are differentiated from other point solutions through their interoperability and the fact that they run on our global platform. We are excited to execute on the opportunities this positioning presents for us for the remainder of 2012 and beyond. Factoring in Q3 run rate, we are targeting to enter 2013 with our value-added services on an approximate annualized run rate of $70 million and expect to be able to grow them at 25% to 30% next year. In addition to the financial and operating highlights discussed above, I'm also announcing today that we've engaged an executive search firm to find a successor to me as CEO of Limelight. At almost $200 million of revenue scale, Limelight is the largest company I've ever run, and I believe the right thing to do given the massive opportunities before us and the richness of our digital presence management and delivery suite, is to recruit a CEO who has scaled businesses from $200 million to $500 million and beyond. My plan is to remain active and involved as a member of Limelight's Board of Directors, and my timing expectation for leaving day-to-day is mid-January 2013. I'm delighted to have worked with the Limelight team over the last 6 years. During that period, we have tripled our revenue, grown our traffic by 1,500%, expanded our footprint into European and Asia-Pacific markets, dramatically expanded our solution set to now include market-leading software-as-a-service solutions for managing a company's digital presence and properly capitalize the company, with over $130 million in cash and no debt. I look forward to continuing to work with Limelight's new CEO and the talented management team and entire Limelight team as a member of the board, as we continue to grow this business and capitalize on the massive market opportunities before us. Finally, we are announcing today that our Board of Directors has approved a new $10 million stock repurchase program. During the third quarter, we completed a $15 million share repurchase program that was authorized in May 2012. At this time, we will open up the line for questions.
Operator: [Operator Instructions] And our first question comes from David Hilal.
David M. Hilal - FBR Capital Markets & Co., Research Division: I'll wish you good luck on your future endeavors, Jeff. On that topic, I'm wondering, what are you looking for in the CEO search? You obviously mentioned somebody that had experience scaling. Are you going try to find somebody from this industry? From tech, more broadly defined? But what are the other characteristics you're trying to find in this candidate?
Jeffrey W. Lunsford: Sure. So if you look at where we have been investing and where we are generating the high growth of the higher-margin services, it's in cloud-based services, it's in the software-as-a-service solutions. So we would love to find someone who has Internet infrastructure experience, but also experience in the software world and in software-as-a-services. The scale, the size is important. Someone who understands how to lead a company from the $200 million revenue range we're at today, to $500 million and beyond, preferably at a high-growth rate. So I think, David, those are probably the highlights.
David M. Hilal - FBR Capital Markets & Co., Research Division: All right. Then let me ask on the balance sheet, obviously, a new $10 million buyback. What threshold are you comfortable, from a cash balance standpoint? When you think about the legal thing back and forth, and I know it's probably going to be some time before something happens. But initially, remember there was $60-plus million of a potential fine, so to speak, against you guys, which obviously you don't have to pay. But I'm just wondering, just given the limbo nature of all this, does that influence what level of cash you're willing -- you want to keep, which indirectly is going to affect your aggressiveness on buybacks going forward?
Jeffrey W. Lunsford: Well, I think, David, we should talk about buybacks kind of one step at a time. Each quarter, the board sits and looks at our capital structure and the investment opportunities we have, and where the stock price is, quite frankly. And if we see the stock levels where it is these days, we believe it's a fantastic buying opportunity for us and the shareholders that remain long-term. But I think, we -- I don't want to make comments about how much we might buy when. I think, surely, each quarter we'll give you guys an update. We've obviously purchased back almost 15% of the company over the last 9 months and this new $10 million buyback will continue to do so.
David M. Hilal - FBR Capital Markets & Co., Research Division: And then on pricing -- I think, Doug had mentioned pricing compression a little greater than what you had seen. Can you help quantify that for us?
Jeffrey W. Lunsford: Sure. Doug?
Douglas S. Lindroth: Like I had said in the prepared remarks, we did see traffic growth accelerate, so you were seeing traffic in the mid-40% on the upside, but we did see price compression come into around the low 30s. So the combination there was -- is really what made our traffic revenue within the CDN portion relatively flat. So it's the combination of the 2. The good news was the traffic growth, the not so good news was a little bit higher price compression than we'd seen.
David M. Hilal - FBR Capital Markets & Co., Research Division: And then, finally, and I'll pass it along here. The CapEx, your guidance was 4 to 5, it came in 7.4. CapEx guidance for Q4 looks pretty low, which is good to see, but was it just an acceleration of some of that spending this quarter? Why was it above where you thought it would come in?
Douglas S. Lindroth: Yes, it's an acceleration. There are some things we ended up doing in Q3. Sometimes, our CapEx is going to be based on availability of product, our negotiations that we have with our vendors and determinations when we're going to take that down and then deploy it. So that's really what it was. Where we thought we would end the year in CapEx hasn't really changed. So we think the levels that Jeff talked about in the script, as well as what we've been saying all year about the same. So it was really more pulling into Q3 and the full year looks about the same as what we've been planning all year.
Operator: Our next question comes from James Wesman.
James Wesman: A couple of things. First, Doug, on the price compressions. Any thoughts on why you saw that greater price compression?
Douglas S. Lindroth: Yes, I mean, we had -- even though we've really been focusing on the value-added services, we are still in a big portion of our business, 65% of our business is in the CDN. So we are going through contract renewals with customers, and there were a few larger customers that drove it. If I look at the customer base and pull the larger customers and the smaller customers, it was really driven by a couple of the larger customers, their traffic as a percentage of our total traffic. So it's not something to me that I felt was alarming, but it is a couple of customers that we chose to renew that did have that impact on our pricing, our average selling price in the quarter. There's also other traffic that we've looked at and said we don't want to take it because of those prices, and we're going to manage what we take, what we renew and what we decline very carefully as we look towards the future and decide what kind of capital investment do we want to make, whether it's in the CDN or whether that's back in the value-added services.
James Wesman: Was there any change in the competitive environment? I mean would you -- those renewals, their situations were a tougher competitive dynamic was the issue?
Douglas S. Lindroth: Not necessarily. I think who the competitors are and that dynamic has been relatively constant for several quarters. You're going to have some quarters that your pricing may be impacted more than others, and -- but I don't see it as there was significantly difference in competition in the market.
James Wesman: And then just on the guide, if I just go to the midpoint of $46 million, it's only 2% sequentially. It's been a long time since you've done, if I think, if ever, that level -- that low-level sequential growth in the fourth quarter. And I understand the pressures -- so what are the ongoing pressures in CDN, obviously, that would create that? But I guess more importantly, if I just take the mid-point of your guidance of 33% to 35% value-added services and back into that, it's still a pretty light number in terms of 4% sequential growth and actually down 1% sequentially in terms of value-added services. So I'm kind of curious what's going on in that.
Douglas S. Lindroth: Yes, I think your -- yours and our numbers are off a little bit on the sequential for VAS. It's -- we have it slightly growing -- there is, with our DSP, the Web Content Management business, they did lose within that group one of their larger customers. They're part of a larger affiliated government group that had an internal system, so they're moving this division off of our platform to theirs. So that's impacting the sequential. It's also part of the value-added services group as a whole, where that growth rate is slowing a little bit on a year-over-year basis at the midpoint to about 19%. So it's nothing alarming. We don't have a churn issue within that group. Overall churn in Web Content Management is really low at less than half of 1% per month. So that's a component of what's really driving on the VAS on the sequential basis.
Operator: Our next question comes from Aaron Schwartz.
Aaron Schwartz - Jefferies & Company, Inc., Research Division: Just maybe a follow-up on that last question, because it sounds like your numbers are a little different. I get the same math as the last question. If we just take the midpoints of the guidance you provided, it does look like the VAS is sort of flat to down sequentially relative to the 35% of total contribution in September. So can you just go over those numbers? Just so we're sure here, because obviously the VAS is, from what we understand, more of a SaaS business where you should have some visibility into the sequential move there.
Douglas S. Lindroth: I think it's -- rather than debate it, I think the point is that it's roughly flat on sequential. I think the difference is, really is, is 35 from Q3, it's 34-point-something that gets you there. So it's within the margin of what we're talking about, it's roughly saying it's going to be flat on a sequential basis. And the real driver of that, as I said, was within the DSP portion of our business is the primary thing that's influencing what's happening on that.
Aaron Schwartz - Jefferies & Company, Inc., Research Division: Okay. And then you had mentioned Global Crossing here in the quarter. If you look at the CDN business, is there any way you can help us, or are there any other sort of expected resellers or larger customers that you do not expect to renew either next quarter into next year? Just you're making some -- certainly some decisions on the way you're managing that business and any sort of words of wisdom in terms of how we should be thinking about the modeling and growth going forward will be helpful.
Douglas S. Lindroth: I mean there's nothing like that from a reseller standpoint that we would say today that we've made a decision or something like the Global Crossing Level 3 acquisition would tell us that, that relationship is not going to continue. The only other thing I would say is what's been talked about in the market is with Netflix and that contract, as we've talked about, will be ending at the end of 2013. So it's not impacting next quarter or next year necessarily, but it will be something that we'll be talking about, as we go into next year, what happens after that.
Jeffrey W. Lunsford: And I also think, Aaron, within VAS, as you pointed out, it's very -- it's much higher quality revenue, both from a margin standpoint, but also the CDN business half-year revenues uncommitted and it varies based on volumes and traffic. In the VAS stack, that's not the case at all. So we said we should exit this year somewhere around $70 million -- or enter next year somewhere around $70 million of run rate. And that we believe we better grow that 25% or 30%, and that's a forward-looking statement, of course, but it's based on all of our pipeline information, our 2013 go-to-market, the current kind of sales productivity and the current quality of revenue there. So I wouldn't take the sequential from Q3 to Q4 and take the midpoint of the guidance and the midpoint of the percentage and conclude that VAS -- the VAS strategy isn't working. That's not at all the case. I mean it is being incredibly well-received in the market. It's almost half of our bookings now, and the revenue quality there is, a, higher-margin, and b, much more predictable. So we feel confident reaching out into 2013, at least giving you kind of a run rate entering 2013 and an estimated growth rate for next year within that part of the business.
Aaron Schwartz - Jefferies & Company, Inc., Research Division: And how do you define that $70 million? Is that just sort of your last month business here in '12? Or what is it that your definition of the exit rate there, because if we look at Q4, it doesn't seem to be reconciling with that $70 million.
Jeffrey W. Lunsford: It's entering 2013, so it's kind of like entering the year of 2013, what will the run rate be?
Douglas S. Lindroth: Yes. So it's really coming out of December. Not the quarter.
Aaron Schwartz - Jefferies & Company, Inc., Research Division: And the last question for me, if I could, just sort of a follow-up to the -- I think it was David that asked the question on the buyback. I mean, you're moving to a less capital-intensive model. Your stock price is lower than it was when we had the call last quarter. It seems like you believe it's a very good use of cash. What's the message here that the buyback is less than the last authorization? Any other color you can give on maybe sort of the board dialogue would be helpful. It just seems to be sending a little bit different of a message.
Jeffrey W. Lunsford: No, there's no signal there. I mean we did a $10 million, then we did a $15 million, now we're doing a $10 million. I think we're just looking at it, as I said, each quarter and at other potential uses of capital. So I don't think you should read much into that.
Douglas S. Lindroth: Well, yes, just to clarify, we did $25 million, $15 million, $10 million.
Jeffrey W. Lunsford: Oh, okay, $25 million, $15 million, $10 million. So we purchased back $40 million. This $10 million will round it up to $50 million. And you can't time price exactly and there's all sorts of volume limitations, as you know. So we're just -- look at trading volumes, look at the current capital we have on hand and for this quarter, seemed to be right. And then if this one gets used up, then we'll sit around and look at it again.
Operator: [Operator Instructions] Our next question comes from Donna Jaegers.
Donna Jaegers - D.A. Davidson & Co., Research Division: Can you talk a little about sales force growth, the turnover, what you're seeing there?
Jeffrey W. Lunsford: The sales force has been around 70 quota-bearing heads, and that could either be a revenue quota or a ACV, annual contract value, new bookings quota, Donna. And for the last couple of quarters, it's been generally steady there.
Douglas S. Lindroth: I mean overall within our combined sales and marketing organization, we did have a little bit of a drop, and that was primarily calling nonperformers towards the end of the quarter. So that's why you see in our press release schedules our total headcount did drop by 11 from Q2 to Q3. But we are in the process of increasing those positions. We did add more positions in our professional services organization in the quarter, and we saw the results of that with a nice year-over-year growth return back into professional services. So we are hiring, once again, continue to hire and expect our Q4 ending headcount to be above where we were in Q3.
Donna Jaegers - D.A. Davidson & Co., Research Division: Okay. And then on -- I'm sorry, Jeff, go ahead.
Jeffrey W. Lunsford: I said, Donna, the profile -- we talked about this in the past, the profile sales rep has changed. And so we've, over the last 2 years, turned over a good number sort of coming from the, sort of infrastructure telco type of sales, where price and volume matter, into the more value-oriented sales where our reps can sit down and have a consultative conversation with all these value-added services. So the roughly 70 folks we have in the field today, we think positions us very well with our products suite headed into 2013.
Donna Jaegers - D.A. Davidson & Co., Research Division: Okay. And then on the Global Crossing reseller arrangement, can you give us -- did that come off in the middle of the quarter or at the end of the quarter? And any sort of revenue color you can give around that, so we know, modeling going forward?
Douglas S. Lindroth: Yes, it was completely out in Q3, so it ended in Q2. It's impacting Q4 from a year-over-year basis when you look at it by about $1 million.
Operator: We have a follow-up question from James Wesman.
James Wesman: Just sort of thing on that DSP loss. Can you quantify how much that was in terms of run rate revenues there on a quarterly run rate? And then should we see value-added services start to grow off of that? On Global Crossing, did you anticipate that when you gave the last guidance? And then maybe you can tell us about what Netflix would eventually -- how that might impact you.
Douglas S. Lindroth: Yes, so the first one, I don't want to go in to -- within the VAS, each customer loss, that's not nearly as significant as the Global Crossing arrangement. So I think where we've guided to, the Q4 VAS, is the level that you should build off of, because that is more of the recurring type revenue business. So I would build models off of the guidance level that we gave for Q4, and what we also said where we expect to see value-added services grow 25% to 30% into 2013. Global Crossing, yes, we had known about it. We'd known about it for quite some time, when Level 3 acquired them, that, that contract would end. I think several quarters ago, the question came up as to when that contract ended, and we did say it ended in Q2 of 2012. So we did know that was ending and expected that to end. And then your last question was on...
James Wesman: Just if you could start to talk a little bit about what the impact might be from the roll off in Netflix?
Jeffrey W. Lunsford: Well, I think -- we talked about this last quarter. Netflix is contracted at very substantial levels through all calendar year 2013. And they've sort of announced that they're building this CDN out there for proprietary use. And we are continuing to serve their content. We have a great relationship with them. Their business, as you just heard, continues to grow. And since they have announced that they are building the CDN, we just want to provide transparency. It does not mean necessarily that we don't work with Netflix in 2014, but we're just sort of giving folks, because they're a 10% customer, kind of the transparency they need. As we discussed last time, there is plenty of business to be had at prices better than we get from Netflix to fill that capacity. If and when they leave, they are the largest buyer of our services and therefore, get the best unit price. And we could go replace that traffic with 3 or 4 other customers, and most likely generate higher revenue. But they are the anchor tenant right now and/or we can go find another anchor tenant if that anchor tenant moves out. Operator, it looks like, at this time, we have no further questions. So we will conclude the call. Thank you, all, for your time, and we'll talk on any follow-ups as scheduled.